Operator: Good morning, ladies and gentlemen, and welcome to the TUI AG Conference Call regarding the Q3 Results. At this all participants’ have been placed on a listen-only mode. The floor will be opened for questions following the presentation. Let me now turn the floor over to your host, Friedrich Joussen.
Friedrich Joussen: Good morning, everybody. I'm sitting here with Sebastian and Matthias and we are doing a joint act together today coming to Q3 results. It has been a long journey for me. It has been 10 years. I will just do the opening statement and then I hand over for everything concrete to actually the new management and new leadership in the company. It has been a long journey for me 10-years. And it was great. At the same time, I decided to step down and actually move on end of September, and it has been two reasons for me to do that and decide that freely that actually I will go. And as much as I had fun over the 10-years, our journey comes to end, and now is the right time. The first reason is the company is all of the crisis, we actually have delivered, and you will see that in the numbers in almost breakeven -- a broadly breakeven result. If you take out the operational disruption, primary effects, definitely, we will be significantly profitable for the full year. We see the booking numbers 90%, 118% on prices, so that's great. Liquidity is very high. We have not drawn any lines extra to the contract. We have handed back lines to the state, particularly plan participation too, which is expensive. So that's all good. We keep a little bit of security for the winter. That's the reason why we have got everything back right now. But liquidity is not an issue anymore. And also, we have made the company leaner, more digital, and we have actually pulled off the EUR400 million per year savings. So you will see in the summary that will be a very good quarter. So the crisis is over. That was the primary responsibility I felt. It's a good time to hand over to next management. Second, who are the people who take over? Do the company have a strong succession plan in place. I can say that because I know the people very well. I've worked with Sebastian for 10-years right now. And when we joined the company together, it was all the gossip around us takeover, you know, to eachother should take on everything then TUI AG would disappear. Now that was actually shipped in a different form and Sebastian and I remember very well, when we combined the companies, that was good. By the way, at that time, Mathias was already M&A responsible. So also his tenure in the company and I know the -- Mathias as well. So then we shaped the company to the vertically integrated shape we have it right now. We invested in the first cruise ships. We invested into more hotels. Before the crisis was two-third of profit was actually what we call the experience business as we invested into Musement. The digitalization of experience is the strongest growth market in tourism very fragmented and so on. And guess what, when you look at Q3, that's where the profitability comes from. I mean hotels is now already in the quarter doing than EUR100 million of profits. So these are the things the growth factors coming strongly out of the crisis. We reshaped and that's what Sebastian and I, you know, I remember Sebastian took the role. And in Germany, we reshaped the German P&L and German P&L was obviously below 1% EBIT and was a little bit of a problem child. And guess what? Now look at the Q3 results is the strongest performer right now. So we did a lot. And then the crisis came, 2020, as you know, was strong summer bookings in the funnel and we thought it was -- it would become a record year. Unfortunately, it turned out differently. We couldn't do any business and the company without revenue. So Sebastian and I remember very well, as CFO, CEO, we are close and particularly close in that time. So we worked 24-hours to save the company. And there was a trust building and a strong alignment. And we known each other very well in these crisis moments. And also, I have to say, Mathias was not just as Mathias as well, I mean being responsible for the capital increases over the years to make us capital market ready again after the state support and reduce debt and all these things and financing growth and the turn off the crisis. So the people out there and ask myself after a crisis, coming back to a profitable growth, people are ready for succession, what would be better in three years. And my conclusion, nothing will be better in three years. So we said we will hand over now. This, of course, is not easy for me 10-years is a long tenure. And particularly, I'd like to welcome the team, particularly the team members who take over right now the responsibility, and it's not that easy. But at the same time, I'm confident with the right decision. It's the right decision for the company. It's the right decision for also, I think for me personally, it's the right decision for actually my successors in place, so that's great. I will actually anyhow miss also all of you, Jamie just three questions. I could obviously bet you were the first with three questions. And I will miss it, right? So -- but today, I'm sitting here, I'm listening in, but the questions, the three questions of Jamie will be also rather answered by Sebastian and Mathias. So thank you very much for your companionship for your working together with us in a constructive way over the last 10-years. And with that, I would like to hand over to Sebastian to -- and Mathias to lead you through, I think, very strong quarterly performance.
Sebastian Ebel: Thank you very much, Fritz. Also a warm welcome from my side. Yes, Fritz, we had 10 exciting years challenging years with the merger, good years, and we expect a record profit year in ‘20, then Corona stand still. We fought for survival and now the strong recovery. And if companies are at the edge, they fall apart, if management doesn't stick together, if management stick together, then you can survive, and that's what we did. And therefore, through your leadership, we have built a very strong team, and I'm very happy to lead this team. It is not about changing the strategy, it's now about execution. We have a lot of good plans. We broadened the product portfolio for our customers, dynamic packaging accommodation-only and activities. We built the direct access to our customers through our app. So we are now -- the main task is to deliver, to execute what we have built. That is more looking further out, but we had the third quarter, the highlights there. We opened -- the third quarter was still a quarter back to normality. If you look at how April was and how June had been, then you really see that the more we come to the -- into the summer, the better the situation got. And can you make the next slide, please? Okay. We operated in the third quarter roughly 82% of the capacity with customers even above this level. And as said, April was slower than June, and we do see that July has seen a very strong momentum. That is also true for August. For September, it's still something to do big short-term bookings are kicking in. That means we had 5 million customers, which are 4 million more than the year before. I think we can be pretty proud of achieving 92% load factor. Historically, in the best month, we have 95%. So we are getting very close to the historical levels. And that led us to a broad breakeven, as we say, to a minus EUR20 million loss EBIT. If we wouldn't have had the direct cost impact from additional flight disruptions of EUR75 million, it would have been even positive. And that doesn't include the effect that for a couple of weeks, we had a slowdown of bookings, because with all the announcement, the press in the news about the condition at airports people did book slower. When we met last time, we were at 125% booking level, compared to the comparable weeks in ’19. This came down to 85%. And now the last two weeks, we seem to be back at around 100% of '19 levels. So the demand is there. People have trust. And I think what we also do see that the efforts we take to stabilize the systems through standby aircraft to wet lease, capacity has helped a lot in building further trust into TUI brand. If we look at the different segments, Fritz mentioned Hotels & Resorts, although we were not in the occupancy levels, which we were used, we are above the profitability that is mainly due to the reason for that is the ADR development, so a very good development. And you have to keep in mind that we don't have the result from the real property company that we also sold a small activity into group hotel. So this is really a very, very strong result. And by also asset light, asset right further building up the number of hotels, there are good prospects there. We are very proud as well for the -- on the result for Cruise and Musement. I didn't expect and most of us didn't expect such a quick recovery for Cruise, especially in Germany and Britain is still a little bit slower, but Germany has seen a significant profit, and we are close to the historical levels if I look at the July, August numbers with a good ADR. That is really amazing. And I think TUI Cruise is probably outperforming the market. Musement, also first time positive not only, because they got now the client, the TUI operator provide them, because without TUI operator customers Musement would be half the size, but especially the new areas, where we sell tourist and activity to TUI end to third-party customers is growing rapidly and for the first time, contributes to the profitability, although this is a clear area of growth, because we think that customers, especially outside of the TUI ecosystem of today, which we gain, will be TUI customers in TUI ecosystem of tomorrow. Therefore, all the initiatives with our app -- with the enlargement of the product portfolio should pay into the acquisition of new customers. So very good in the holiday experience sector on the airline and the TUI operator still needed the time to build up and we had the disruption costs, but we are getting closer to normal in the fourth quarter. I have heard a lot of question, what do you think about disruption in this quarter. July was still heavily impacted like the two months before with a higher volume. What we do see the last 10 days, and hopefully, this is a trend, which will stay that the numbers are back to historical levels. I just looked today we only had 10 delays yesterday and only three above three hours. So it's really getting normally. And we paid a significant price for that, because we wanted to make sure that our customers are happy that we don't cancel several thousand flights. We just canceled 200, and that was 200 too many, and that was -- most of it was Manchester where there was no way around. Amsterdam, we've got the cuts, but then we brought the customers to Liege and the customer was happy. So we didn't want to leave the customer alone by canceling. We took the extra mile. We took the additional costs also in the fourth quarter to bring the customers into the well-deserved vacation and to make sure that the TUI brand is strong, and we do see that customer satisfaction index also in the last two weeks have been back to normal levels. So a very positive start, but as said by far more to come. We are not yet over and about the future, it's all about execution. And the details of the numbers -- sorry, there's one slide for me. Looking forward, I think for the summer, we said Germany, we are really surprised how well the market now came back. Sustainable is very strong on the agenda for us. This is something we are very much committed to. We believe that is not only commercial viable to do that, but it is also important and getting more and more important for the customer that he can have a good feeling when he goes on vacation. And he apparently is also ready to pay the EUR1 or EUR2 more for a high sustainable travel. Next slide. If you go into the details, you do see here the capacity we run in the last quarter, close to 90% in the holiday experience field. And with load factors, which were coming also closer to the historical levels. If we look to Markets & Airlines, you do see that the capacity level was around 85%, a very mixed picture, so Central and Germany with lower numbers than the U.K. The U.K., due to the earlier booking standard cycle had a capacity of close 100%. And by having this, we significantly improved the EBIT compared to last year's third quarter. But as clearly said, we are not there where we had been in '19. If you look into the results, as mentioned, hotels also above ‘19 with EUR105 million with a smaller portfolio and the increase you will see in the portfolio in the coming years will be asset light, asset optimized. Cruise for the first time, profitable. Again, with a significant part from TUI cruises, the recovery in Germany was by far stronger. Also TUI Musement back to profitability, not only because of the 5 million guests from the markets, but especially also by own growth through their own distribution enlargement. The Northern region still negative with EUR90 million. A significant part of the disruption we’re in Northern region because of the infrastructure issues we all know. Germany, and that is really, really good with EUR25 million or EUR24 million profit, the measures we have taken really helped us here a lot by rightsizing the aircraft by getting backup capacity when we saw that we couldn't fulfill the time lines for outgoing flights that cost money, but it helped us to become profitable, so a very good way forward. And Western Region, you may ask why is the size is smaller. Why is the result so negative? You’ll probably have heard all about the main impact in Amsterdam that was something we could not really overcome, because they are just cut the capacity we had to do a lot. We brought customers to Liege to Rotterdam. We took the extra mile to bring the customer there. And second, the long haul business, and that is actually also true for Northern region didn't recover as quickly as the medium and the short haul business. A lot of things I just said to the disruption. To make it very clear, even that we only canceled 200 flights, these were 200 flights too many every flight meant 189 people impacted. And you read all about in the press and that is not acceptable, and that's why we took the effort to take care of our customers, even if in most cases, we were not responsible for the cancellations. I think it's good to know that 96% of our customers arrived in the destination without major impact. There were 3%, which had a medium impact, which means a couple of our three, four, five hours delays, and we have less than 1% canceled flights. I think almost all out of Manchester for the reasons you all know, which were less than 1% of the Summer program. As said, 1% too much and we have taken all the actions we can do. We need, of course, the infrastructure to work. Some things we can recover. We went to other airports. We had more standby capacity. But at the end, also the infrastructure has to fix their issues. We had a drop in our NPS and the customer satisfaction index. But what is good to see with all the actions we have taken, we are now back to normal levels in the last two weeks. And we are very confident that we are over the period of significant disruptions. Winter should be easier because of less volumes and next summer, we are well prepared that we shot back to normal. Customer trust in our brand that we do see every day when we look at the bookings, and we want, and it's our clear commitment that TUI remains the best choice for travel and, as said before, that why -- was the reason why we didn't cancel the flight, which maybe have been commercially sensible to cancel. So we only canceled the flight where there was no alternative, because the infrastructure couldn't provide us the service. And that's why besides sustainability, quality is one of my and the management team priority. If I look at the booking development, you do see that we were end of July at 90%. So we gained 5%, compared to the last May meeting. We -- in a way had, as I said, the drop when there was the disruption in the press. And -- but we can now say that we are back to ‘19 levels, again, and that's the reason why we expect for July, August, the 93%, and it will be interesting to see how the development will be in September. When I look at the ASP, 18% so almost on the level we had been before, holding up very strongly. There are different ingredients in that the customer on average still stays one day longer than compared to ‘19. He books one half star higher than he did before. And the rest, which were not price -- cost increases, which went by customer behavior, yes, when customers stays a day longer, we also have to pay one night more, but also had to offset, especially the fuel price cost increases. You may recall that we were only partly hedged, because the hedging line only opened after the rebump of the business. So we had a significant impact on fuel increase, which made the one or the other would not have in the same magnitude as we had. Looking forward, we are back to the policy that we want to hedge the booking status we have. But this year, the ASP increase was also needed to offset the significant increase of the fuel price. So therefore, knowing this, the strong bookings, the strong pricing, we expect a very good fourth quarter, which should lead, and that's what Mathias will explain later on, a significant profit for the full-year of ‘21 to ‘22. The model which we have works well, we have -- that is also important to know. Greece has been very strong, quite often taking over Balearics and Canaries. We do see a return of Turkey. That is probably and that is important also for the future. People have a budget. And if they are more concerned about the budget, they look where are the good deals, because we have seen above 18% price increases in the most wanted destinations like Greece. So then people start to turn around and look where they find good offers. And that's why Turkey has become very strong back, because also due to the inflation of the devaluation of the currency, Turkey is a very price attractive customers. And we would ask what about winter -- next winter, we expect that there will be also strong demand, but also with shift in the destination from long haul more to the longer, medium haul destinations like Cape Verde or Greece. So we expect a good occupancy and good rates also in Q4. We do see a short-term booking environment that makes predictions a little bit more difficult as also fuel price development, we were able to benefit a little bit from now the lower price, but who knows what will be the price of tomorrow. That's why we are going back to the hedging policy we had before. On Cruise, we are operating all chips. Bookings are strong. Prices are strong. For the next coming months, we are well booked. There is a catch-up still to come a little bit for Marella. But also there, we do see a strong -- we also see strong wound booking for winter. But as I said predictability is a little bit more difficult, because it's all short-term. So we have never seen before the short-term bookings with good prices have such a high share and probably we have to live with that for the long time, but we also see Hapag-Lloyd, our six star is almost back to long-term booking pattern, because people do see if they wanted to have a cabin -- high-end cabin short-term, it was fully booked out. And to Musement, we had issues on the pickup rate. Of course, people were not so sure can we -- is it safe to go into an activity. We are also there 35% of our customers’ book activity, and we are back there in the last weeks on historical levels. And as said, especially through the B2B partnerships, we get strong demand, and that helps us to get a really relevant for suppliers. We never had so many suppliers contacting us they want to be on our platform. And knowing what you don't know yet, what the pipeline is on rolling out on getting direct product-wise, we will see a very good Musement activity. By the way, not only in destinations, but also in the source markets, because there's also one clear objective. We want not to be that the customer books every two years with us, his three week or two week vacation, we want him that he books once a month with us. We are not yet there. It's as said, all about execution, but you will see in the next 12-months, what I just tried to describe. Mathias?
Mathias Kiep: Let me do one technical adjustment. I think you can now hear me as well. Thank you. And thanks for having me. And I can also -- can only also thank Fritz for the last 10-years of very intense and very close working together and in particular also for this very structured, very team-oriented handover. And of course, I really look forward to the new role. Allow me two minutes of -- two words on introduction before I go to the details of the quarter. And I've brought with me my initial thoughts and what you -- the CFO priorities. They're, of course, very closely aligned and linked to the priorities that you just heard from Sebastian. So number one will be for us to return to profitable growth and finance will bring the right tools, monitoring and controlling to that and will be the gatekeeper and continue to be gatekeeper to our resources. Our cash and balance sheet, the discipline, that's something which is, I think, now at the heart of the company, and this will continue to be so and to focus on cash, please ensure that this is one of my highest priorities. And I think the third element is also very important because if you look at the finance team within TUI, I look at that from the internal side, of course. I think the team has really done a great job everywhere. And so this -- to keep this team together and to develop it further, this is, of course, something which is really, really important for me going forward. Now turning into the quarter, and there's one event that I would just to recap on before we go into P&L, cash flow and the balance sheet. As you know, we were in a position to return the silent participation tool. So this hybrid capital of around EUR670 million to the state end of June, that's something you will see the impact of -- through all these elements in the quarter. I think it's really a great step that we handed that back plus the additional undrawn facilities from KfW of a bit more than EUR300 million, down to EUR2.1 billion. Just as a reminder, this is something which we haven't drawn and we haven't drawn that for quite some time. This is a really good step and to see the company, and we see that also in the balance sheet later to recover stepwise, that's something that was what we planned for. That was something we expected. But now to see it materialize, this is, of course, a really good step. And also, it was quite encouraging to see the demand that was there when we did the equity raise for TUI, story for the TUI development. And we're, of course, very grateful to our investors who supported us on this issue in a very volatile market environment. Now turning to the quarter. If I start -- may start with the P&L, almost breakeven. So that's within what we planned for. As Sebastian said, this disruption were costly, so not only for the customers and every customer that is effective is one customer, too many. At the same time, this has also translated into quite substantial impact on the quarter with regard to costs. So the EUR75 million broader than below the line is something like minus 30%, overall still effectively breakeven for this quarter. I think, is also the development on EBITDA because then on the nine months, we are effectively neutral already accumulated, and this is a very good basis for the fourth quarter, but also -- and you're aware of that, we will start with our covenant test end of September. And so the profit of Q4 will effectively build a good base for that covenant test. And if you then combine it with the balance sheet that you will see in a minute, you probably can do your own analysis later, and I can only say that we are confident on this covenant tests based on these numbers, and it's probably now you can do your own assumption on that. That's probably helpful. In terms of adjustments, we have a book position accumulated of minus EUR30 million and we have an assumption for the full-year of something like EUR90 million to EUR110 million. We will remain that unchanged, because some of our restructuring fund realignment program to translate into further expenses there in the fourth quarter. Net interest. You may see the EUR120 million is higher than in the year before. We already had, and this is something reported last time, one-off non-cash impact from returning the bond portion of the bond with warrant, one of these government facilities at that time. Now we have another impact from that, which is linked to the return of the silent participation too and is effectively a non-cash interest that we had to book in context of the -- then assumed at a certain point in time, overall return of the scheme to the state both together, and we talk about something around EUR60 million. And if you add that, that's why we expect that we have a slightly higher amount for the full-year in our P&L, and we've raised our modeling assumption EUR450 million to EUR475 million. Again, the important thing is this is non-cash interest, and this is a one-off. So going forward, this will not impact our P&L. We have and kind of the underlying interest cost for next year will not be affected by that. Whenever we turn facilities to the state, we expect some volatility in the lines, which I think is natural. Important, the coupon on the silent participation tool is not in this income statement, because it's from an accounting perspective, below the line. So this is paid as effectively classified as a coupon dividend. So it's -- you can see the cash flow, but not here. Tax, maybe as a last comment, also there to the recovery of the business. You have volatility in the numbers. I tend to look at the accumulated position with the minus 7%. Probably, we will have some further volatility in the fourth quarter, because some of our entities will be profitable for the full-year be still negative. We will not book, kind of, the deferred taxes on those. I mean, there's a lot of technical background in the end. The important thing there, again, is that going forward, we want to get back to our underlying tax rate of the past and the import is below 20%, we had 18% in the past. Now turning to cash flow. Again, this overview, I think we can skip because it makes clear how we have recovered and you can see the EUR75 million. On cash flow, you see the EPA. You also see, I think, from a structural point of view, this quarter is broadly in line again now with what we would normally see in the quarter. So in ‘19, you probably see -- if you look at these numbers, you see a similar development, strong inflow of working capital, because we ramp up in this quarter for the peak summer period. And other than that, I think there are two items to highlight, plus investments that I would like to touch on. Tax paid. You see a quite significant payment here. This is not related to the -- what we saw on the P&L. This is deferred tax payment of the past. I must say we are quite happy that we could arrange for these deferred tax agreements in the past. We expected this to become due. And now as you can see here the payment. Again, this is a one-off payment, and you will not see an impact over the -- in the future years. That you can assume that we go back to this underlying tax rate again. Same on the interest part of this tax was also booked in interest of this one-off payment. And also, you see a little bit more of interest coming from the hedges, because we also hedge more. On investment, this is something I also wanted to highlight. We have a range of EUR120 million to EUR280 million as our modeling assumption. We already said we are at the upper end of this. We also said that you could expect, because it's coming a bit from the mix, how we finance our aircraft that we have less from the asset financing come through. Now accumulated, you see EUR290 million. We expect in the fourth quarter, a significant portion of PDPs to realize. So this will reduce this number. And also, we will from the financing to aircraft from divestment proceeds comingin that should bring us back to this quarter of the upper end of EUR280. And that's why we leave that modeling assumptions unchanged for the moment. And the rest of the financing cash flow, we see, in particular, how the equity raise went in and we paid back to silent participation and reduced the RCF. Now in terms of liquidity and balance sheet, again, on the headroom of our undrawn facilities and available cash. If you look at that, you see, of course, what you've seen in the cash flow statement, so page before, strong ramp-up, but in particular, also the hand back of this EUR1 billion of facilities to the state. The balance sheet, and that I think because we closely focus here on our financial debt position. Important that you don't see an impact here of the Silent participation given that it's recorded as equity. But overall, I think to get back to something like EUR5 billion of gross debt, EUR3.3 billion of net debt, that's a really good step into the right direction. Also as Sebastian said, KfW not drawn RCF effectively down to EUR200 million of drawings. That's how we plan for it. And it's -- again, it's very good to see how this materializes. Also because of the interest environment, the net pension obligation went down to something like EUR400 million. This is also helpful for the gross debt. And as I said in the beginning, we look forward and we are confident on the covenant test and starting as of September. I think overall, therefore, a good quarter. We have seen the ramp up of the company, the recovery of the -- of our earnings. We have a very good basis now for a profitable fourth quarter and deliver then on our target to have a significantly profitable EBIT for the full-year. With that, Sebastian, I would hand over back to you.
Sebastian Ebel: Thank you, Mathias. For this year, we deliver what we wanted to deliver and our mid-term ambition is, of course, to significantly grow our EBIT, not only to a historical level, but very clearly above historical levels. And especially by top line growth, yes, cost is always an issue and it will be an issue. And at the moment, it's so important to offset cost inflation by reducing cost to -- at the end, also have a financial stability and the leverage ratio. We always said the first target we have is a gross leverage factor of 3 times, but to further reduce this for the future. How do we want to do it? If you -- if I start with the box on the right side, the global realignment program in a way is executed. I mean, only a very small portion still has to come, but everything has been implemented, and we will see it next year. The growth through asset right financing, the methodologies and methods are available. So if we now want to have a hotel and we are able to acquire, we will fund or through a joint venture company. So the structures are available to grow the business as described earlier. Very, very important is for us the incremental products that we are bringing at the moment I said we don't want to be the choice for the traditional package once in two years. We want to be the choice very often in a year. We see dynamic package has become more and more important. Germany, for example, who is the front-runner on this in our TUI ecosystem, in the last week, did 25% of all sales products dynamic package. We are in the process of rolling that out to the other markets in the next 12-months. And is what is also very important are the component sales. TUI has not been recognized as someone you would have top of the mind when you book a hotel only. We are now have access direct content -- direct access to the content supplier like hotels, and we bring it directly to the customers through web, through app and, of course, also through retail. Also, the Musement product, tours and activities, we now have several hundred thousand of products, which we can bring to our customers and set not only in the destination, but also there, but also in the source market, we want to be if the customer wants to book a museum ticket that he does it through us. And this only works if we bring these products to the customer, and that's why we have put so much effort in improving our app approach, our mobile-first approach, but also the traditional mobile access to the customers. And there, we are making huge steps forward from a company who five years ago sold traditional package tickets to a dynamic, agile, full content customers. But that is also very important on the pillar on the key -- on the USP of having exclusive content. Our own brands, exclusive also products when it comes to activity. And this should lead to a significant growth for the foreseeable future and not only growth, but a profitable asset-light growth. That's why we are very confident even in a probably more challenging market, the environment, consumer behavior and so on that we will have great products to be more independent from the general trends we may see. And now we go to the Q&A session, we are very happy to answer your questions.
Operator: [Operator Instructions] And the first question comes from Jamie Rollo from Morgan Stanley. Please go ahead with your question.
Jamie Rollo: That's predictable. Thank you very much. I've got three questions, please. First of all, you've obviously repaid a lot of state aid already. Are you still expecting the German government to convert the remaining participation? Secondly, your gross debt is now down to about EUR5.5 billion. Do you think you still need to raise more equity, particularly if that's going to go up over the winter, given the normal seasonal losses? And then finally, just an operating question, digging into Markets & Airlines margins in third quarter, your revenues were pretty well back to 2019 levels. If we add back the disruption costs, the margins were, sort of, negative 2%, and they were positive 2% in the same quarter in 2019, if we add back the MAX losses. So that 400 basis point drop, you talked about cost pressures. Should we expect a similar drop in the fourth quarter and obviously, you normally make a double-digit margin adjusted for disruption costs? Thank you very much.
Sebastian Ebel: Thank you, Jamie. The good thing now is the first two questions Mathias has to ask not me anymore. So maybe a few words on the margin, the third quarter was still for Markets & Airlines ramp-up quarter, and you see significant differences between April and June, June more normal than April, where we had still a significant ramp-up costs and less utilization. So we expect month-by-month, a trend to more normalized margin. What we still have to keep in mind that our hedging position was not there where most likely our competitors has been, because we were able to start and because our policy is always to hedge at least the booking position and a little bit ahead of that, but this was not possible, that is now more and more possible. And therefore, we haven't had the benefits of hedging earlier, and we had to take the fuel price. And four weeks ago, spot price was $1,350 per metric ton jet fuel. So we had to take this price. There also, we see a normalization to it and that we will be in two or three months on a hedging -- most likely on a hedging level, which is comparable to other touristic company. So the margin has been significantly impacted by fuel prices and by a ramp-up cost in the quarter, but we expect that they should normalize and long-term will be probably a tough winter or a challenging winter. We have been very careful in planning the capacity, but we don't see no reason why margins should not be on historical levels, especially with all the cost measures we have taken. And the more we do also dynamic packaged products, the more we can benefit from good offers from our suppliers. Therefore, the dynamic packaging has been so important to implement that. Mathias, the first two questions for you.
Mathias Kiep: Yes. And good morning and thank you for those questions. So on the state aid and whether the government would still convert, I think we need to continue to say this is a bit out of our kind of decision and knowledge. In the end, I think there's a strong economic incentive still for the state to do so. But this is effectively also all we know. So this is a bit out of our things. I think what we can say that the state has been very accommodating in the kind of discussions around the signed participations too. And this is something we really appreciate. In terms of the balance sheet, I think when I listened to your questions that mirrored how we look at it, I think it's a really good step to get there. And it's really good to see that the company has now stabilized, recovered and then we are back to where we wanted to be as the first step. Now in terms of focus, it's really get the company back operational where it should be. And at the same time, I think we will continue to monitor all kind of opportunities on the capital markets in terms of that's something we just have to be open-minded. I think if we look back over the last two years, to be open on that has been very helpful. So I think that's a bit our financial strategy.
Jamie Rollo: So just to clarify on that last point, it sounds like you might be considering raising equity, you're not ruling it out. If that is the case, would that be likely to be this year? And also given I think you've now exhausted the non-preemptive equity offer with that raise the other day, can you do a preemptive equity raise if the Russian shareholder is blocked from taking up the rights? In other words, are you actually now limited in your ability to raise equity?
Sebastian Ebel: I add the same, Mathias there are no plans to raise more equity at the moment. I think that is very clear.
Jamie Rollo: Okay, great. Thanks. And Fritz best of luck for the future. Thank you very much.
Sebastian Ebel: We'll pass it on. Thank you.
Operator: The next question comes from Cristian Nedelcu from UBS. Please go ahead with your question.
Cristian Nedelcu: Excellent, thanks you very much for taking my questions. The first one is on liquidity management. Could you give us a bit of color, how do you plan to refinance the KfW RCF? Is that via own cash generation? Is it economical to replace it with a bank RCF? And if you can give us a time line there? Secondly, in Cruise pricing. If we look at Q3, TUI Cruises JV, the pricing in there was down 1% versus 2019 levels. And this is weak considering the current inflation environment, as well as the fuel cost almost doubling since 2019. So can you give us a bit more granularity what is happening there? Is there overcapacity? What is causing this weak price development? And the last one, looking at the free cash flow generation in Q4, I believe in Q4 2019, you are generating around EUR100 million, EUR200 million of free cash flow, positive free cash flow. Could you tell us if you expect a positive free cash flow in Q4 this year? Is it better than ’19? Or any type of directional steering you could give us at this stage? Thank you.
Sebastian Ebel: Maybe Mathias, if you take the first and third question, I will answer the Cruise question. I mean, I'm really amazed about the recovery of Cruise. And being on an occupancy level, which at the moment tends to come to the historical level, on a price level, which had been the price level of ‘19 is an outstanding result. And if we, for the time being, assume that this trend goes into the fourth quarter and into the future quarters, then the coming back of the Cruise market, especially for TUI Cruises is really strong. So we do see that as a very positive development. Second, when it comes to inflation, the Cruise is probably -- I mean, we always say that inflation or price increases on touristic products should be less and will be less than normal inflation, probably Cruise will have the less impact on inflation, because they have a lot of fixed-term contracts. Yes, on fuel, they see the impact, but the order of -- or the possibilities to reduce, and that's what they did the last 12 months, consumption has been significantly by going slower, by being more hours, one or two less hours in the morning in the harbor. So they have done a lot of actions to lower the fuel consumption. So yes, they are also impacted, but at a lower level than any other activities. And we are very happy and actually surprised by the strong recovery.
Mathias Kiep: Thanks, Cristian, for the two questions that remain. So on liquidity, KfW, I think from a -- let's say, financing perspective, KfW, as you know, has a term until ‘24. And we would look at this during the course of next year. And I think one is to make sure in terms of that we have sufficient headroom and that we don't return facilities just to return them. But -- so we do that in a very structured and stepwise approach as we did in the summer. And for the overall financing scheme, I think there's nothing to add, compared to what I said before, focus is now really on the operational recovery and this will, I would expect, also as opportunities going forward. In terms of free cash flow for the fourth quarter, I think you already brought ingredients in your question. So you're looking at '19, there was -- in the fourth quarter, we start to pay out a lease. We start to see less prepayments from customers, because we go from the peak season to the autumn. In ‘19, it was probably EUR1 billion of working capital. We may see a little bit more this year, because we also have this inflation effect to some extent on the working capital. The other ingredient then for the cash flow in the fourth quarter is then the profit. And that's something I would like to ask you to your own assumption, because unfortunately, given where we are, we will not -- we cannot provide more details to that at the moment.
Cristian Nedelcu: Understood. Sorry, just on the Cruises, I'm not sure I understood well. So occupancy in Q3 was 70% for TUI Cruises. Did you mean that currently sort of August your back at occupancy back to pre-COVID levels of close to 100%? Was this the message there? Or apologies, I didn't fully understand that.
Mathias Kiep: What I tried to say is that the booking development is extremely positive, and we are on a good trend to come to historical levels.
Cristian Nedelcu: Perfect, understood. Thank you very much.
Operator: The next question comes from Alex Brignall from Redburn. Please go ahead with your question.
Alex Brignall: Good morning. Thank you very much for taking my questions. I'll do three. On the -- I guess the first two digital questions. So could you tell us what the online distribution mix has done? I appreciate that because of the different capacity levels, it's a bit difficult to compare, but maybe directionally how that's looking? And then in terms of the restructuring, a lot of which is related to digital, could you just give us a bit more detail now that you've completed it some of the highlights in terms of accomplishments that have done or things that we can visualize that have fundamentally changed from how you're doing them before to how you're doing them now? And then the third question, you talked a lot about dynamic packaging and your capacity being more flexible, could you talk a little bit about your hotel and airline sourcing? I guess on flight, there's less capacity available. So whether you're able to find capacities from third-parties? And then from hoteliers, talked about sort of inflation or lack of inflation in terms of rooms that you are seeing there? Thank you very much.
Sebastian Ebel: I start with the third question. And the markets in which we are very different. And the most extreme differences are between the U.K. and Germany. In Germany, third-party flying is available everywhere. So there is a huge capacity on third-party capacity. So we have no issues in getting flexible seats. This is different to the U.K. And that's why the fleet in the U.K. is significantly higher. And the usage of wet lease partners is also higher in the U.K. So we really adapt it to the model. On the other hand, also in the U.K., more and more the third-party -- the seats are available, which we use and package dynamically. But it's more difficult -- or maybe not difficult, it's less supply than in Germany, where you could say there is in some areas in oversupply on seats. Hotels, it's a very different story because at the end, we differentiate in two directions. One, our own brands or where we have exclusivity in hotels there, we buy early. We buy for an extremely good price and we distribute. The other hotel is they want more and more direct access from their PMS system, so their inventory system into our systems. And there, it's important. There are two scenarios. One, if there is a lack of capacity like we had this year in Greece, the hotelier only wants to give us more allotments for a higher price. So we need to accept higher prices, but we still get bad and we can sell to the customers or there's less demand, and then we want to benefit from lower prices than maybe before the season. And this is something we now are more and more be able to do so. And by having these two areas of strength, it's working very well. And one of the reasons why Germany became so positive is that we, as I said 25% is not done in package, we estimate roughly that half of it is really incremental demand. And that's why we think this will be a source of growth in the future. What are the digital highlights? I mean there are a lot of things which we changed. I mean, the most obvious thing is you are in the destination. We now have, I think, service penetration of 80%, 85%. So most of the customers have it. Why do they have it? Because they were concerned. What about Corona rules if something changes changing? Where do I have my documents which are needed to entry and so on. So this means that we need less reps in front of the summer to support this. So this is a significant benefit. If we know the service part and the customer use it, we now started very successfully offering the Musement activity, the exertion because we know that he is in -- on Tenerife and we want to offer him the water park, the CM park. So we tell him the customer, which is close to the CM park we have a special ticket offer, because it's raining, it's especially price attractive and the customer can book immediately. And these kind of services where we offer the customer, knowing his behavior, knowing where he is the right product. And that's what you can -- like the activities you can see today, we'll offer that for recommendation only for flight only in the future. So this is really a very strong source of growth. Other things, you don't see too much when we link directly to the hotelier system, so that you don't have to negotiate a contract with us, but similar to booking he puts in the content, the prices automatically it goes into our systems that is only possible, because we are changing our systems and -- but it's behind the scene. So there are a lot of things which you may see as a customer. Hopefully, you will recognize and it's a value for you, upgrading, up-selling is also a part which will come now. And others, which you don't see, but it's important to keep costs low and to be agile and to get the best deals out of the market. And online distribution mix as what has happened there. Again, markets are very different. Germany still has a significant share of third-party retail, which is good because it's the customer who decides it's not us who decides. And we support the third-party distribution very heavily and strategic for us. On the other hand, we do see that the customer goes mobile, mobile, mobile. That even there's a very strong move from computer to mobile. And that's why the app is so important. So if you look at the different markets, the U.K. is -- and I don't know if we have given the numbers or not is very -- I mean, Nordics is 90, U.K. is 70, Germany is still 30, but Germany probably this year has doubled. So we are getting closer to -- I mean it still needs -- you can argue two years, probably three years to come to the U.K. number. But again, if the customer's choice is to book with third-party, we are very happy because the third-party is really good and up scale the customer to offer him the better product. It's easier with him and talking to him than booking online. So I think it's important for me to say we are not -- we're supporting third-party retail very much. And for us, it's the mobile-first strategy, because this helps us to be, hopefully, customers' first choice more often than it has been in the past. And now you would probably ask what is a good number on mobile. We are still on a low number. But I mean, if the best at least I know is booking.com. Is it something which we can achieve in 1 year, not, but it shows us very clear the direction we should go to.
Alex Brignall: That's fantastic. Thank you. Maybe just following up on the capacity sourcing. If we look at your selling rates for this year and what capacity you're hoping to get to versus 2019, could you just split out how much of it is committed and how much of the incremental that you can sell is still flexible at the moment, so you have no risk on it?
Sebastian Ebel: Maybe if we can provide you with the exact data, I would say half-half, but maybe this is right or maybe it's probably it's not too far away, but we will provide you with the exact data. And again, the U.K. market is by far more very high percentage on committed or exclusive whereas Germany is probably half of this is committed. What you also should have in mind is that the -- our brands, the hotel brands, also Cruise go more and more direct also into other markets. So why is Rio doing so well? Or why is Atlantica doing so well? Because they get a huge share nowadays from great customer or from Spanish customers for good rates, so that also has an impact on what -- how much we can commit and we are going to commit and how much exclusive we have, because we just start to trade off what is the right and it can vary. I mean, we had this time season where Rio could sell a significant higher rate direct than with TUI operator. And we now really try to take the optimum out of that.
Alex Brignall: Well done. Thank you very much.
Operator: And the next question comes from Richard Clarke from Bernstein. Please go ahead with your question.
Richard Clarke: Good monring. Thanks for taking my questions. Yes, three, if I may, all quite related. The first one, you said you believed in the Cruise industry. I think it was two Cruises that you’ve gained market share. I'm just wondering whether -- what the market share dynamics have been for your Markets & Airlines business. Obviously, with Thomas Cook coming out compared to 2019, have you managed to pick up share or is that share going to someone else? And then maybe related to that, you mentioned the risk of customers potentially trading down, going for a lower holiday or for a cheap holiday. I think it's pretty fair to say that some of your competitors in the market trade a little bit more on price than you do. So how do you protect against the customer going to one of those slightly more discounted provider? And then looking a little bit more longer term, just on kind of capacity planning as we run through the next few years, use to talk about putting capacity up 20% with Thomas Cook coming out. With the flight disruption and what's gone on for the last couple of years, how are you thinking about capacity evolving? Do you think we're at the right level now? Or do you expect you can get to that sort of Thomas Cook exit plans level?
Sebastian Ebel: Maybe a first question on Cruises. Also Marella is doing well, they started to recover two months later than TUI Cruise. TUI Cruise was never out of the market, whereas cruising in the U.K. was in a way for bid. And that's why the recovery is as strong as TUI Cruise is just a time delay. If you look at market share, I mean the German market is the German market, because customers 90% or 95% was on German speaking product. And therefore, there is not so much impact or hardly any impact from MSC or the other international cruise line. And as the capacity between and TUI Cruises is as it is, there are probably no main changes in market share. What we do know is that we have recovered very quickly and very well. And the prices have become good. So that's why market share is not really variable compared to the airline business. If you look at Markets & Airlines, I mean, market, it's getting challenging if you lose market share, but it's also a trade-off between the profitability and market share. And therefore, the Dyna packaging is so important because you are right, Thomas, TUI has been always and is very strong in the four-star plus segment. I mean, if you look at market shares in Germany, we have by far, higher market share there than compared to the two star segment. And that's why the -- to make sure that we not only get our very good market share in the four or five-star segment, but also in the two or three star segment, -- that's where really a dynamic package kicks in. And I think it's fair to say it's not always the case, but the majority come from less -- high cost or high star rated product in dynamic packaging. That's actually one thing how to protect against the other dynamic packages. And there is no reason why we should not be as good or even better than they are. And what are the exact numbers, I think for the U.K., we don't have real numbers, but we think we are doing well. In Germany, we have numbers. And there, we know that we do well. And it's also quite interesting that the numbers you do see with us, probably the whole market is still only at 85% of where it has been in '19. So why are we at '19 levels? It's because we have taken market share from Thomas Cook. Again, what do we say, what I say, dynamic packaging components only, this is now the way we are on. Not everything is there. And that's why it will be interesting when we really see the first volumes like we have seen now in Germany will kick in. Hopefully, in the next 12 months, we do see this, like we do see it with Musement. I think Musement was the first one where we could see strong growth.
Richard Clarke: Okay. And then just on the increase in capacity post Thomas Cook, is that still a plan to get back to 20% ahead of 2019 levals?
Sebastian Ebel: I mean, we have to be careful, because I’d always say the last beer you drink is the problem, not the first beer you drink when you get a headache. And we are cautious on capacity also, especially for winter. Yes, we may take the last EUR10 million profit chance, but you can easily lose EUR50 million because you have too much profitability and especially long haul, but could be more under pressure, because the fuel part of the whole package is, of course, bigger. So yes, we want to grow, we want to take our fair share also of the Thomas Cook market share, we want to fight. Maybe we have to be even more agile than we had been in the past. But market share itself can be a dangerous thing, because if you increase the capacity too much, and the market is not there, you yield. And there, we have to be really careful. If you do dynamic packaging, you don't care, because the yielding comes from the supplier, and he has to take the burden. And that's why we put this into the German market. Hopefully, in the next six to nine months, we will have that also in the U.K. in full scale so that we can benefit if they're at once stage in some market segment and probably more in the lower end is an overcapacity we benefit and we don't take the burden.
Richard Clarke: Thank you.
Operator: And the last question comes from James Rowland Clark from Barclays. Please go ahead with your question.
James Rowland Clark: Hi, good morning, everyone. Three questions, please. Just following up on your U.K. market points just then. Just thinking more medium term, do you see growth in U.K. volumes for TUI package holiday customers just given the medium-term growth plans of the likes of easyJet and Jet2 in that market? And then secondly, on customer reviews. I wonder what you said in your remarks that satisfaction levels have recovered after the airport disruption. Could you just give us a feel as to what those scores look like compared to pre-COVID? And also the level of repeat bookings you've got in your system compared to pre-COVID as well? And then finally, just on profitability, looking a little bit further out, we've obviously got a softening consumer demand and high-cost inflation. Do you think you would be able to grow the profit per customer going into next year? Thank you.
Sebastian Ebel: The most easiest question is the customer satisfaction score. If you look at the rates one to 10 we have, we saw a drop maximum of 1 point percentage on not at 1 point, not a percentage point, 1 point. And that was maximum 10 weeks or two, three months ago -- two months ago. And that now has recovered to the historical levels of the 1 point we have gained again. And with this, we are to back very, very good levels, which I -- from what I know in the markets. How do we see growth? The TUI is extremely strong in the committed exclusive product range. And there the competition is less than in the -- of course, people are prepared and ready to pay the premium for a premium product, they only get with TUI. On the other product, that's why the dynamic packaging is so important. We now bring the product into the market so that we can benefit there. So even if there is and that is probably not unlikely that there is consumer sentiment to buy maybe less that we can further grow our customer base and our profitability. Will it be next year or after next year? So that is interesting to see. Next year should be a more normalized year, the whole benefits of what we are doing and what we are implementing will probably come a year later. But we do see that the market, not only on the experienced products, hotel, musement, cruise will be strong, there might be a customer demand issue, especially in winter, which we would like to offset with incremental volume we get through incremental products we bring into the market. So it's not easy. And it would be -- if I would say, everything is fine, and it will moves unlike it has moved on the last couple of weeks that would be not right to say. That's why it's all about execution that the things we have prepared, we implement that we do it well, that we communicate well there are markets which will benefit earlier from it. Others will still need to wait longer. But therefore, the focus of the customer demand we can hardly influence. But what we can influence is our position in the market and not only in the traditional to operator market and the dynamic package and the activity market and all the ancillary markets, car rental and so on. So we are -- we know that it's not an easy way. We don't have to redefine the strategy, but we have to deliver, and that is our all focus every week.
James Rowland Clark: Thanks and so just -- and your expectations for next year in terms of profit per customer as you look across the group versus '19 levels?
Sebastian Ebel: I would -- I don't know if I would give you an answer if I would have the answer. I think we are well prepared to get something good out of the market. It so much depends on the volatility still in the market. Fuel price, I just looked it up $95 and two weeks ago, it was $115. Consumer sentiment. It's changing so often. So I think there are good reasons to believe that the market recovery will move on. There's still a catch-up pre-COVID crisis, but to have it really in numbers, it's not possible. Vaccination is also an issue. So that's why we focus so much on execution. So thank you very much for your interest. Thank you for -- we have seen a lot of goodwill from your side, from press, from investors, and we do our utmost to fulfill the trust to give back the trust we received. Thank you.